Operator: Operator: Good day, ladies and gentlemen, and welcome to the Nasdaq First Quarter 2017 Results Conference Call. At this time, all participants are in a listen-only mode. Later, there will be a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Ed Ditmire, Vice President of Investor Relations. Sir, you may begin.
Edward P. Ditmire - Nasdaq, Inc.: Good morning, everyone, and thank you for joining us today to discuss Nasdaq's first quarter 2017 financial results. On the line are Adena Friedman, our CEO; Michael Ptasznik, our CFO; Ed Knight, our General Counsel; and other members of the management team. After prepared remarks, we'll open up to Q&A. The press release and presentation are on our website. We intend to use the website as a means of disclosing material, non-public information, and complying with disclosure obligations under SEC Regulation FD. I'd like to remind you that certain statements in this presentation and during Q&A may relate to future events and expectations and, as such, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from these projections. Information concerning factors that could cause actual results to differ from forward-looking statements is contained in our press release and periodic reports filed with the SEC. And now, we'll turn the call over to Adena.
Adena T. Friedman - Nasdaq, Inc.: Thank you, Ed. Good morning, everyone, and thank you for joining us today to review Nasdaq's first quarter 2017 results. As CEO of this organization for almost four months now, I have had the opportunity to gain new perspective and a deeper insight into the nuances of our businesses, our clients and the competitive environment in which we operate. I can honestly say that we here at Nasdaq are working very effectively together and with great intensity across all of our businesses to solve our clients' complex problems and opportunities and to create more constructive opportunities to interact with the capital markets. Our focus across our core businesses coupled with good execution of our priorities contributed to the record results we delivered during the quarter. In particular, our continued strong performance in our non-transactional businesses helped us offset a volume environment negatively impacted by record low volatility. To begin, I want to spend a few minutes updating you on the tactical priorities for 2017 that I outlined during this call last quarter. Strong execution is a hallmark of Nasdaq, and I would say that we are progressing well across all of these priorities. The first priority is to improve our competitive position across all of our businesses. In our Market Services segment, we have achieved strong market share gains across our equities and derivatives markets since the beginning of the year and had a good opportunity to build on those increases with additional market functionality as we continue through the year. For example, in March, we added a new order type post-only non-displayed in U.S. equities and saw material share gains as customers enthusiastically adopted it. Moving forward, as we continue to work on implementing the Extended Life Order or ELO subject to regulatory approval, which rewards retail customers who commit to minimum order durations with elevated priority in the book and which could then benefit participants from other customer segments is effective at bringing more retail flow on exchange. Similarly in Europe where regulation under MiFID II is a big driver of change for our industry, we've experienced significant market share gains throughout Q1 and are developing a new Auction on Demand solution for our Nordic markets to complement the current order book trading. The Auction on Demand functionality enables firms to interact in size while also complying with new MiFID II requirements for on exchange trading. The second priority is to complete the 2016 acquisition integrations and to deliver on their full potential to customers and shareholders. At the end of the first quarter, we have achieved $50 million in annualized run rate cost synergies across our four 2016 acquisitions and continue to build on our confidence that we will deliver on the full synergy potential of $60 million by the end of 2017 as forecasted. We are on track with our major milestones as well including the implementation of the ISE Gemini system on the INET infrastructure in Q1 with expected implementation of the ISE main market before the end of Q3. The corporate solutions integrations are also moving along on schedule. The third priority is to commercialize our capabilities and key disruptive technologies, putting them to work for our clients. We continue to make very good progress here, particularly with the early sales of the Nasdaq Financial Framework or what we call NFF, which is our next generation market technology platform that is fully cloud and blockchain enabled. We are also making progress in developing and delivering products that leverage machine learning such as the Trading Insights data analytics offering within Information Services and important enhancements to our SMARTS Surveillance offering in Market Technology, and we expect each of these to contribute more meaningfully to results as we progress through the year into next year. Therefore, overall, we are performing well against the three tactical priorities for the year. Next, moving beyond the 2017 execution priorities, I would like to provide an overview of new longer term areas of focus for me and the rest of the management team that I believe will continue to broaden our business and help shape the company going forward. First and foremost, we are a client-driven organization, and as such, we are dedicating tremendous time and energy to understanding our clients' needs today, but also to anticipate the complexities that they will face tomorrow. We are also a world-class market infrastructure technology company, and we see a wide range of opportunities where we can apply our expertise and our technology assets to address our clients' needs both today and tomorrow. When I look across all of our businesses, we're in various stages of implementing these opportunities. Today, I'm going to focus on two initiatives that we recently announced. The first is the Nasdaq Private Market Alternatives and the second is Nasdaq Ventures. In the listings business, we're focused on areas where we can use our core market expertise and resources to bring new efficiencies to areas of the market that remain untapped. And during the quarter, we executed our first auction-based transaction in a client's partnership interest on the Nasdaq Private Market or NPM as we call it, and we launched the Nasdaq Private Market Alternatives or what we're calling NPM ALT as an expansion into an adjacent area of opportunity designed to facilitate liquidity in alternative investment funds. We're very excited about our new NPM ALT's offering, as over the past decade, alternative investments such as private equity funds have grown twice as fast as traditional investments. However, they remain very illiquid, which limits participations of certain investor segments. After two years of working alongside our clients to develop a product, we have created an auction-based liquidity solution that has appropriate regulatory approvals and that we believe truly fits our clients' needs. Specifically, we can facilitate secondary trades in LP interest or feeder fund as well as auction-based liquidity in both 40 Act and 33 Act registered funds. We are also expanding the platform to facilitate direct secondary trades in private equity fund LP interest. We see great long-term opportunity in shaping a new era for the alternative asset management industry by providing a structured, scheduled liquidity mechanism to create a fair way to transfer interest that ultimately broaden the appeal of the investment class to new investor segments. Moreover, the NPM Corporate Solution and NPM ALT share the same technology infrastructure and many of the same features, which of course gives us the potential to scale our investments in this technology more quickly. Technology has always enabled us to do more for our clients and it will be even more important to our success in the future. To this end, over the past several years, we've increased both our own experimentation with and investment in new technologies that we believe will shape our future and that of the global capital markets. A key focus for me is not only the new technologies themselves, but how we can better apply them to accelerate our pipeline of new commercially viable products that add greater value to our clients. And to this point, we've recently announced a new initiative called Nasdaq Ventures. We are excited about this initiative as we see Nasdaq Ventures as an avenue for us to discover, partner and invest in emerging companies in the fintech space that are developing and leveraging groundbreaking technologies that align with our clients' needs, including but not limited to, machine intelligence, blockchain and the cloud. Importantly, this is part of a broader ecosystem that we're developing at Nasdaq to accelerate our innovation, growth, and efficiency in ways which align with our long-term objectives in the global capital markets. Nasdaq Ventures complements our own internal R&D innovation program and we are working to create both a culture and a framework for our team to bring more ideas to the surface that leverage new technologies, drive growth and add value. By investing in our future, we help ensure we are building a sustainable franchise over the long term. Today's investors in Nasdaq are benefiting from the investments we've made in this organization over many years. And this certainly was evident in the first quarter's results, as we delivered record non-GAAP operating income of $277 million and non-GAAP diluted EPS of $1.10. A key driver was solid organic growth across our non-transactional segments at 5% year-over-year as well as positive impact of our recent acquisitions. On the flipside, our Market Services segment was materially impacted by low market volumes across all of our asset classes driven by a low volatility environment despite a geopolitical backdrop that continues to have a fair amount of uncertainty. In terms of total industry market volumes, comparisons from the first quarter of 2017 to the first quarter of 2016 may clear these headwinds. Average daily industry volume in the U.S. equities was down 20%, Nordic equities traded volumes declined 16% and U.S. multi-listed options were down 5%, and our Nordic commodities business experienced a 13% drop in volume. That said, in terms of those key drivers that we can control, notably market share and capture rates, we are very encouraged by our progress across our equities and derivatives markets in the U.S. and Nordics. Through functionality enhancements and benefits from a more focused customer orientation, we ended the quarter with 1 to 2 percentage points higher market share in both the U.S. and Nordic equities compared to the Q4 2016 period. We also averaged 42.5% combined market share in U.S. multi-listed options during the period, an all-time high. Capture rates overall were solid across our markets, although there're always many client and volume tier mix dynamics that impact the given period. We are on target to complete our options exchange technology migrations in 2017, and once complete, we will have streamlined the way our customers connect with and execute on the six markets in our options complex. At that stage, we'll focus the organization on delivering new functionality and performance enhancements. Shifting to our U.S. commodities platform, NFX, our market participant clients and partners continue to find opportunities across multiple product categories, and as a result, we continue to see strong performance during the quarter with open interest surpassing 2.2 million contracts, more than 65% above the fourth quarter 2016 high of 1.3 million contracts. Average daily volume in the first quarter of 2017 was 213,000 contracts traded, up 25% from the fourth quarter of 2016 and almost triple the prior year's first quarter level. Considering all of the drivers across the segments and driven in large part by the low volumes, the Market Services segment experienced an organic Q1 year-over-year revenue drop of $12 million or 6%. With the inclusion of the ISE and Nasdaq CXC acquisitions, our revenues in the segment were up 9% year-over-year before other exchanges. Turning back to the non-transaction segment, our Market Technology business delivered the company's strongest year-over-year organic growth at 18%. Additionally, our new order intake in the segment was $47 million, more than double the prior year's first quarter level. We signed several interesting deals during the quarter including one with the New York Interactive Advertising Exchange. It's deemed NYIAX. This new exchange, a marketplace facilitating price discovery and transactions in online advertising derivatives, will leverage the Nasdaq Financial Framework architecture and is expected to be the first exchange to be deployed in the cloud and utilizing the blockchain. It also demonstrates the applicability of NFF beyond traditional capital markets applications. We have also extended and expanded relationships with some key clients including the Hong Kong Exchanges and Clearing which will leverage the Nasdaq Financial Framework for their next generation derivatives trading and clearing solutions. Additionally, NEX Group will deploy the SMARTS Surveillance technology in its leading foreign exchange platform. We are all well positioned to capitalize on this momentum, as we continue to make more components of the Nasdaq Financial Framework available throughout the year and as we enhance the functionality of our surveillance offering and expanded to new client segments. In our Information Services business, we experienced strong growth in AUM and exchange traded products tracking our indexes since last year across many of our index families, turned by inflows and market performance. Nine new ETPs launched tracking Nasdaq indexes in the quarter including new products in Taiwan. We continue to have a strong pipeline of new tradable index products that we expect to launch in the quarters to come. Within our data products business, we experienced moderate revenue growth. In Q2, we plan to launch a new data platform that combines our own proprietary data and third-party data with machine intelligence capabilities. This platform, called the Analytics Hub, is the second product coming out of our Innovation Lab following Trading Insights. Our goal is to provide buy side with better data sets to help them make better investment decisions. Turning to corporate solutions and the listings business, we're proud to welcome strong new companies to the Nasdaq family including Presidio, Hamilton Lane, and Laureate Education in the first quarter. So our overall IPO win rate eased from over 70% last year to 52% in the quarter. While a few years ago we might have been excited by a slight majority in terms of win rate, we progressed to the point where we expect more of ourselves in terms of our ability to demonstrate our unique and superior value proposition to every company that chooses to enter the public markets. In order to continue our decades long IPO share gain story, we'll work to ensure that we're effectively communicating our unique capabilities to support corporates across their life cycle. This includes how the Nasdaq Private Market can deliver benefits during their private ownership, to how our IPO auction mechanism can reduce volatility during the critical period and immediately after their initial public offering, and how we can help them execute as public companies with intelligence, analytics and communications tools from our corporate solutions offering. Turning to our corporate solutions business, I'm pleased to report that the turn to organic growth we reported last quarter continued into the first quarter. When you think about where we started with this business several years ago, it is indeed encouraging and we continue to make good progress on our efforts to position this business for sustained organic growth. Lastly as we execute well, we earn the ability to invest in our future while at the same time delivering tangible returns here now for our shareholders, and in that vein, we are announcing today a 19% increase to our quarterly dividend, which to me is a further vote of confidence in Nasdaq's future growth and profitability story as well as the continuation of our strong track record on shareholder returns. To sum up our performance in the first quarter, while we experienced some revenue challenges in Market Services due to the low volumes as well as flattish performance in listings, we continued to see steady organic growth in Information Services, continued inflection to organic growth in corporate solutions, and our strongest momentum in Market Technology. Looking beyond the immediate numbers, we continue to make a significant progress in our acquisition integration, we achieve strong market share across most of the markets that we operate and we launch a significant new liquidity mechanism for alternative asset managers while we continue to tap into strong demand for our technology solutions in particular our next generation Nasdaq Financial Framework. Therefore, we are confident that we have a strong foundation from which to advance and seize future opportunities throughout the remainder of this year and beyond. And it is the potential of this firm and the opportunities in front of us that I'm so passionate about on why I have remained so optimistic about our future. Now, I will turn it over to Michael to review the financial details.
Michael Ptasznik - Nasdaq, Inc.: Thank you, Adena, and good morning, everyone. My comments – commentary will primarily focus on our non-GAAP results. Reconciliations of U.S. GAAP to non-GAAP results can be found in the attachments to our press release and in the presentation that's available on our website at ir.nasdaq.com. I will start by reviewing first quarter revenue performance relative to the prior year quarter as shown on page 3 of the presentation and organic growth on pages 4 and 15. The 9% or $49 million increase in reported net revenue of $583 million consisted of $50 million in net revenues from our 2016 acquisitions of ISE, Marketwired, Boardvantage and Nasdaq CXC and organic growth in the non-trading segments of $15 million or 5%. This was partially offset by an organic decrease in Market Services net revenues of $12 million and a $4 million negative impact from changes in foreign exchange rates. I will now review highlights within each of our reporting segments and all comparisons will be to the prior year period unless otherwise noted. I will start with Information Services, which, as reflected on pages 5 and 15, saw $5 million or 4% increased revenue consisting of $3 million or 2% organic growth as well as a $2 million increase related to the ISE acquisition. While we saw healthy organic growth in core data and in revenues from licensed ETPs, the comparison to the prior year period also reflects $1 million in lower audit collections and a decline in fees on derivative product licensing Nasdaq indexes due to lower volumes in Q1 2017 versus elevated levels in Q1 2016. The operating income margin was 74% in the first quarter, up from 73% in the prior year quarter. Market Technology revenue as shown on pages 6 and 15 increased $10 million or 18% with organic growth driving substantially all of the change. The growth is driven by increased revenues from software licensing and support contracts, growth in surveillance products as well as BWise advisory revenues. New order intake was $47 million in the first quarter and the period end backlog finished at $777 million, unchanged from December 2016 and within 1% of all-time highs. The operating income margin was 19%, up 1 percentage point from 18% in the prior year period. Turning to Corporate Services on pages 7 and 15, revenues increased $17 million or 12%, primarily due to the Marketwired and Boardvantage acquisitions, but also due to $2 million of organic growth, all of which came from corporate solutions. Corporate solutions organic growth reflected increased revenues in the public relations and investor relations businesses. Listings revenue declined $1 million primarily due to the unfavorable impact from changes in foreign exchange rates. Excluding FX, revenues were unchanged while the number of corporate listings is relatively steady versus the prior year period. Now while my commentary is generally focused on year-over-year comparisons, I'd like to take a moment and discuss the comparison to Q4 2016 specifically for listings, given the sequential decline of $4 million. This was primarily driven by the fact that de-listings over the course of the entire year only impact revenues beginning in the following year's first quarter because listed companies prepay their annual listing fees at the beginning of that period for the entire year. In 2016, the number of Nasdaq de-listings was about 30% above the prior three-year average overwhelmingly due to elevated M&A activity. This dynamic drove a $2 million decline in revenues in the first quarter versus the fourth quarter of 2016. Additionally, a seasonal decline in revenues related to advertising on the Nasdaq MarketSite Tower and lower new issues activity in the Nordics together drove an additional $2 million decline versus Q4 2016. Now turning back to Q1 2017 versus Q1 2016, the Corporate Services operating margin was 27% versus 24% in the prior year period. Market Services net revenues on page 8 and 15 saw a $17 million increase, reflecting inclusion of $31 million of revenue from the acquisitions of ISE and Nasdaq CXC, offset by a $12 million organic decline driven mainly by lower industry trading volumes and a $2 million unfavorable impact from the changes in FX. Market Services operating income margin decreased 1% to 55% versus 56% in the prior year period. Turning to pages 9 and 15 to review expenses, non-GAAP operating expenses increased $26 million. This increase included $22 million in expenses from our acquisitions, net of $11 million of realized expense reduction from synergies, and a $7 million or 3% organic increase. This was partially offset by a $3 million of favorable impact from changes in foreign exchange. Turning to slide 10, our revised 2017 non-GAAP operating expense guidance is a range of $1.26 billion to $1.3 billion or a $10 million reduction at the high end. Cognizant that annualizing Q1 2017 expenses of $306 million might indicate full-year trends below our guidance, I'd like to be explicit about some of the factors that contribute to higher expenses in the second quarter and the remainder of 2017 despite the expected achievement of the remaining synergy targets. Annual merit increases and certain employee equity grants impact compensation expense starting in the second quarter. Our businesses with higher revenues in later quarters due to seasonality or other factors will incur higher performance-linked compensation as well as higher cost related to delivering certain services. As previously noted, we have budgeted $40 million to $50 million in R&D spending and we have planned for those expenses to build as the year progresses, and starting in Q2, we will begin incurring depreciation and other expenses associated with new offices we've opened in Philadelphia and Bangalore, though each also drive bottom line results as we continue to optimize our real estate footprint. Non-GAAP operating income increased 9% in the first quarter of 2017 and the non-GAAP operating margin totaled 48%, unchanged from the prior year period, as expansion in margins in each of the non-transactional segments was offset by slight contraction in the Market Services segment. Net interest expense was $35 million in the first quarter of 2017, an increase of $8 million versus the prior year period, reflecting the additional interest expense from the financing of our 2016 acquisitions. The non-GAAP effective tax rate for the first quarter of 2017 was 24%, at the low end of the 24% to 26% range we provided during the last quarterly call. We continue to expect the 2017 non-GAAP effective tax rate to be in the range of 30% to 32%, and for the second quarter of 2017, we expect the tax rate to be between 33% and 35%. Non-GAAP net income attributable to Nasdaq for the first quarter of 2017 was $187 million or $1.10 per diluted share compared to $153 million or $0.91 per diluted share in the prior year period. Included in the $1.10 non-GAAP diluted earnings per share is $0.13 related to the tax impact of ASU 2016-09. As mentioned during the fourth quarter 2016 call, we adopted new accounting guidance starting in the first quarter of 2017, which requires us to recognize a tax effect relating to the vesting of share-based awards in income tax expense in our income statement rather than in equity. Turning to capital, during the first quarter, our outstanding debt increased modestly due to fluctuations in FX rates. Our debt-to-EBITDA ratio ended the period at 3 times and we continue to expect to deleverage to the mid-2 level by mid-2018, which we aim to achieve through both EBITDA growth and debt reduction. Subsequent to the end of the quarter, on April 12, Moody's upgraded our bond rating from Baa3 to Baa2 in line with S&P's unchanged rating of BBB. Today, we're also announcing a restructuring of our liabilities. There are several elements to this. First, on May 26, we plan to redeem our 5.25% January 2018 coupon bonds with a face value of $370 million. Second, we expect to fund this redemption through a combination of cash on hand and proceeds from the sale of commercial paper issued through Nasdaq's newly established commercial paper program. And third, in connection with establishing commercial paper program, we're replacing and extending our revolver, which had a capacity of $750 million and was due to expire 2019 with a revolver that has a capacity of $1 billion and expires in 2022. Nasdaq returned $209 million in capital to shareholders in the first quarter of 2017 consisting of $156 million in stock repurchases and $53 million in dividends. As of March 31, 2017, there's $273 million remaining on the board repurchase authorization. Consistent with our approach, the company intends to primarily utilize repurchases to offset the impact of equity share issuance and our repurchases during the quarter largely accomplished this for the full year 2017. As Adena noted, the company also announced a 19% increase today in the quarterly dividend to $0.38 per share. In addition, the board of directors has adopted a dividend policy, which makes clear the intention to provide shareholders with regular and growing dividends over the long term, as earnings and cash flow grow. This underlines the company's desire to continue what has been a significant dividend growth story and a consistent focus on delivering total shareholder returns. Thank you for your time, and I'll turn that back to Adena.
Adena T. Friedman - Nasdaq, Inc.: Thanks, Michael. As we have discussed, we are very pleased with the operating performance of the business despite a difficult first quarter volume environment. Our market share is improving. Our Market Tech business continues to experience strong demand and performance, and our other businesses are progressing well. We also have continued our efforts to provide healthy returns back to shareholders with our increased dividend. We look forward to continued success, as we progress through the year. And with that, we will turn the call over to questions.
Operator: Thank you. Our first question comes from Rich Repetto with Sandler O'Neill. You may begin.
Richard Henry Repetto - Sandler O'Neill & Partners LP: Yeah. Hi, Adena. Hi, Michael. Yes, on one question, the question I guess will have to do with expenses. So you've jumped well into achieving the remaining synergies. And I'm just trying to understand – Michael, you did a great job at explaining why expense will go up in the backend, but it just seems like is there any potential to increase the synergies since we're already within $50 million of the $60 million run rate? Where's the offsets here by the expense outperformance here in the first quarter?
Adena T. Friedman - Nasdaq, Inc.: Hey, Rich. Thanks for the question. So I think the first thing I would say is we were very, very cognizant of the low volume environment in the first quarter and therefore we managed our expenses well into that environment. And as Michael mentioned, we do have things that we're going to be doing throughout the year, as the revenue continues to grow and as we continue to implement on our initiatives that will create some natural increase in the expenses. In terms of the synergies, we are, as you pointed out, very well underway in achieving our full-year synergies, but at this point, I think we're very confident in our ability to achieve the $60 million, but we're not increasing that guidance right now.
Richard Henry Repetto - Sandler O'Neill & Partners LP: Okay. I will stick to the one question rule. Thanks.
Adena T. Friedman - Nasdaq, Inc.: Okay, thanks.
Operator: Thank you. Our next question comes from Dan Fannon with Jefferies. You may begin.
Daniel Thomas Fannon - Jefferies LLC: Thanks. I guess my question is on listings. Appreciate the color on the sequential decline, but I guess we're back at kind of early 2015 levels in terms of revenues for listings. Can you talk about your outlook for that revenue line item?
Adena T. Friedman - Nasdaq, Inc.: Sure. So I think that one of the things to point out is, as we made a price increase in listings a couple of years ago and as part of that price increase, we also eliminated for certain issuers the listing of additional shares fees, so that has been running off because that's a fee structure that amortizes over four years. So, that's been running off, as we've enjoyed a higher level of fees coming in from our listed companies, and so there was a significant increase in listing fees in 2015. And that, we then have another list that we've already announced that comes into play in 2018. This year, however, has just been an interesting year where in 2016, as Michael mentioned, we had a lot of M&A activity that created de-listing activity against a relatively weak U.S. IPO market last year. So obviously, we hope to continue to see a better trend in terms of new IPOs coming to market and hopefully some level of abatement of some of the M&A activity, which then will create a better net listing story for us. The other thing just to point out for Q1 and it's a dynamic that specifically occurs in the Nordics. Nordic revenues from new listings tends to come in earlier in the process. We don't amortize these listing fees onto the same degree and there's other fees that come into play when we get new listings, and Q1 was a quieter quarter for the Nordics. But we do see a very strong pipeline of listings coming into the Nordics throughout the year, but that also just created just a lower quarter in terms of listing revenue.
Daniel Thomas Fannon - Jefferies LLC: Got it. Thank you.
Operator: Thank you. Our next question comes from Chris Allen with Buckingham Research. You may begin.
Chris Allen - The Buckingham Research Group, Inc.: Good morning, everyone. Wanted to ask a little bit...
Michael Ptasznik - Nasdaq, Inc.: Good morning.
Adena T. Friedman - Nasdaq, Inc.: Good morning.
Chris Allen - The Buckingham Research Group, Inc.: ...a little bit about the Market Technology. I mean the order intake was solid, but the backlog was down a little bit year-over-year. It's been flat relative to the fourth quarter. Obviously, you guys are always working on stuff that doesn't find its way into the back. I was wondering like what the pipeline is and how do we think about the growth trajectory moving forward from here?
Adena T. Friedman - Nasdaq, Inc.: Sure. Well, I think that what we provided is an outlook of generally mid- to high-single digits growth in the Market Technology business. We obviously got off to a great start in the first quarter in terms of revenue as well as order intake and recognize that the first quarter is usually a pretty quiet quarter for that business in terms of, what we call, short-term revenue or kind of change requests and things that come in. We have a – usually fourth quarter is a very active quarter in terms of that type of revenue and first quarter tends to be a seasonally low quarter for that. So, that should pick up as we go through the year. At the same time, we have extremely strong demand frankly coming from all elements of the business. It's actually – it feels great in terms of understanding what our clients are looking for and how they want to continue to advance their market, and then frankly our new technologies and what we're able to do to deliver for them, I think that we are matched up extremely well with what our clients are needing going forward. So we feel very good about the demand from our existing clients in terms of extending and expanding existing contracts as well as from new clients as they are looking at ways to make their – streamline their infrastructure and take more advanced technology at the same time. So I have to say it does feel very good right now in terms of the demands for our services.
Chris Allen - The Buckingham Research Group, Inc.: Got it. Thanks.
Operator: Thank you. Our next question comes from Alex Blostein with Goldman Sachs. You may begin.
Alexander Blostein - Goldman Sachs & Co.: Hey. Hey, guys. Good morning.
Adena T. Friedman - Nasdaq, Inc.: Hey, Alex.
Alexander Blostein - Goldman Sachs & Co.: Wanted to touch on the index business. So the underpinnings for (34:09) obviously very robust. You guys are winning incremental ETP products and the market's obviously helped a lot over the last couple years, but if you look at the revenue in that bucket, it's been kind of balancing around that kind of 28% to 30% range for the last two years. So just a little more clarity I guess on what's going on underneath and is it a pricing issue – is it a volume issue, is it a pricing issue, kind of how should we think about the growth here going forward and what could sort of accelerate it?
Adena T. Friedman - Nasdaq, Inc.: Sure. Well, I think that there are two components to the index revenues that are worth mentioning. One is AUM – kind of basis points on AUM and that differs by index in terms of – some of our indexes command higher fees than others, so that's one component. And the other component is the futures trading revenue off of the queues. And in the quarter, we saw a 40% drop in futures volumes on the queues, which created a downward pressure in that revenue stream against, I think, solid growth within the AUM-related revenues. And we did see significant – I would say that the queues in particular had a strong AUM quarter and they tend to have slightly lower fees as compared to our smart beta indexes that have higher fees associated with them. So while we saw really strong AUM growth, it's not going to be a one-for-one in terms of AUM growth and revenue. It does depend on the composition of the growth, but I would say that the futures volumes have created an offset to overall AUM revenue growth for the quarter.
Alexander Blostein - Goldman Sachs & Co.: Got you. That's helpful. Thanks.
Adena T. Friedman - Nasdaq, Inc.: Sure.
Operator: Thank you. Our next question comes from Alex Kramm with UBS. You may begin.
Alex Kramm - UBS Securities LLC: Hey, good morning. Just wanted to come back to the Market Technology side for a second here. You mentioned good interest from existing clients. Can you flush us out a little bit and maybe define the addressable market there a little bit more because I think you had some wins in the past that clients took the whole gamut, I guess, so can you just – but I'm sure there're some legacy clients that only use a couple of services or maybe the core technology. So, maybe a little bit more of how you would define the upside opportunity to cross selling, how many clients you have that are only taking the few products and how are the margins when you actually up-sell that, so a lot of questions. Go ahead.
Adena T. Friedman - Nasdaq, Inc.: Yeah, that's a lot of questions. I mean I don't have the specific numbers that you are asking for around addressable market, but I can give you color around that right now. And I think that with regard to the overall addressable market, you're right that we have some clients to really take almost every service we have to offer, but only a few, I would say a small handful of clients take the full gamut of what we have to offer and then there are a lot of other clients that might just use us for derivatives or might just use for trading and not for clearing. And so, what we find is that as we continue to develop our relationships with our clients, they're realizing that they might have only used us for trading in the past and they now need a new clearing infrastructure or they're really looking at a complete redo of their post trade infrastructure and are looking to work with us on both clearing and CSD. So the clearing, I would say post trade infrastructure has been the strongest demand among existing clients in terms of expanding our relationships and growing the footprint within our existing clients. In terms of trading, I would say that that's where new clients like NYIAX and we've had a couple of other new clients come on board on the trading. And then of course, as we continue to work on our Project Ocean (37:58) initiatives that then expands our ability to offer up our trading and operations capabilities into the broker-dealer community and the demand for that continues to be very strong. Those contracts just like any other Market Tech contract takes a while to develop, but we are in active dialog with several large broker-dealers around the use of our technology for that purpose. So I would say, in the core Market Tech that's where we see kind of the demand developing in SMARTS, I think there are two areas of growth. One is, frankly, we just continue to get penetration, and the growth there has been double digits for a long time. I think that's the second, though, is that as we have built out a market intelligence suite around e-com's compliance, we are really building up a nice pipeline, but also going into production now with a couple of clients on kind of a more holistic approach to surveillance both e-com's compliance matching up with trade surveillance. And then the third area of growth for us is in the buy side, which is a total blue ocean kind of opportunity for us to bring all of our SMARTS Surveillance capabilities into the buy side, and we have a growing pipeline there, but that's a longer term growth opportunity for us.
Alex Kramm - UBS Securities LLC: All right. Very good. Thanks.
Adena T. Friedman - Nasdaq, Inc.: Sure.
Operator: Thank you. Our next question comes from Michael Carrier with Bank of America. You may begin.
Michael Roger Carrier - Bank of America Merrill Lynch: Right. Thanks a lot. Michael, maybe just on the debt side, given what you hit on in terms of the redemption and then the increased revolver, even CP, just wanted to get a sense on the outlook and maybe interest expense on how that all plays out, and I'm assuming it's a net benefit just given the cost, but any color on that. And I guess any charges on the redeeming of the 2018.
Michael Ptasznik - Nasdaq, Inc.: Yeah. So the simple way to think about it is that we have the 5.25% bonds that will be redeemed and then we will be replacing that with a CP program to a large degree, and so you can see whatever the differential rate will be, we're not going to speculate on what the CP rates might be, but you can see what the differential might be between those two to determine what the change in the interest rates would be. And then there will be some one-time expenses that will go through as a non-GAAP item that we'll book through the quarter in Q2, still finalizing what those numbers are, but we'll be in the $10 million to $15 million range most likely.
Michael Roger Carrier - Bank of America Merrill Lynch: Okay. Thanks a lot.
Operator: Thank you. Our next question comes from Chris Harris with Wells Fargo. You may begin.
Chris M. Harris - Wells Fargo Securities LLC: Thank you. A question on corporate solutions, you mentioned second quarter in a row of organic growth. I think the rate of growth is probably a little bit less than you guys would like to see. Any updated thoughts on what needs to happen for that part of business to see faster growth than it currently is seeing. Thanks.
Adena T. Friedman - Nasdaq, Inc.: Yeah, I would agree that we would like to be able to get to a higher sustainable growth rate in that business. Where we've seen strong growth is in actually our core offerings of IR intelligence and the PR suite. So we're encouraged by the fact that some of our core offerings are really experiencing strong growth, but where we see some continued challenges is in the webcasting business, which we've discussed over the last year. And so I think that that's kind of creating a net offset to some of the stronger growth in our core solutions. We continue to look for ways to make sure that our webcasting solutions are kind of turning into a growth opportunity for us. In terms of the quality of what we do, we are at, I would say, the highest end of quality in terms of our webcasting capabilities, and we want to continue to integrate those solutions into the rest of our offering to make them more part of an integrated solution. So there are things we're going to do to continue to try to create a growth opportunity there. We are encouraged by the core growth in the offerings where we've been investing the most. We are very pleased to see the level of demand that's developing in those products. In terms of as we continue to go through the year, just to give you a little color on the business itself, we are going through some tech implementations in our PR business in terms of moving everyone onto the Globenewswire platform and that's well underway, as we've been doing the Marketwired integration, and that's been positively received. We also are going to be slower, and this is intentional and modeled slower in terms of integrating our board solution clients just to make sure that we do it in a very measured way. But again, we're seeing really strong demand in growth there as well. In terms of the other area of migration has been in our webhosting platform and we're well underway in migrating everyone to a much more advanced solution. But throughout all of these migrations and integrations, we are building out kind of a fundamental platform that will allow us to share content across our solutions, particularly as we get into 2018 and we do think that will actually create a stickier offering to all of our current clients and continue to give us more of an opportunity to elevate further into the C-Suite and that I think will hopefully be a significant growth catalyst as we get into 2018. So I think we talked about this at the Investor Day last year actually, in March, that we have this march to an integrated platform solution and we are on track, but it does carry us into 2018 as we continue to create a more full service solution for our clients.
Operator: Thank you. Our next question comes from Vincent Hung with Autonomous. You may begin.
Vincent Hung - Autonomous Research US LP: Hi. So in this Virtu-KCG deal, they're looking to extract some synergies from savings on market data. Do you see any revenue impacts from this and are you concerned by any further consolidation in the HFT industry?
Adena T. Friedman - Nasdaq, Inc.: So I mean I think that there will be some impact. We're still assessing exactly what that would be and they obviously have to go through and I'm sure they have certain assumptions, but we have some work to do just to make sure that we fully understand it. It's not going to be significantly material, but as we said, consolidation in the HFT industry could have some impact on our maybe data and connectivity services, and at the same time, what we have found is when there has been consolidation in the industry in the past, it tends to give rise to new players and so the net of it has usually been a lot more muted than what you would expect in terms of initial impact, and that's just – by the nature of the industry frankly is usually when there's consolidation, someone else sees it as an opportunity to get in and that has been the history of our business. So we see it as – on a netted basis, we're not particularly concerned, but we definitely obviously are evaluating it right now.
Vincent Hung - Autonomous Research US LP: Thanks.
Operator: Thank you. Our next question comes from Brian Bedell with Deutsche Bank. You may begin.
Brian Bedell - Deutsche Bank Securities, Inc.: Great. Thanks, folks. Just maybe to go back to the Corporate Services business, maybe Adena, if you can talk a little bit more about how you view the revenue and profit outlook from the two new initiatives that you mentioned, NPM ALT and Nasdaq Ventures, and I assume those are both going into the Corporate Services business. Are those initiatives – do they have potential in expanding that core growth rate in 2017 or is that more of a 2018 and beyond type of view? And then if you can talk about how much of your R&D allocation is to those two new ventures?
Adena T. Friedman - Nasdaq, Inc.: Sure. So the corporate ventures actually is at the corporate level and it has more to do with developing an investment team that looks at taking minority stakes in new technology companies. And we would take – what we've announced is that we would expect those stakes to range anywhere from less than $1 million to around $10 million, so it depends on how early stage versus late stage we get into the investment. They will be oriented towards technology companies as well as any obviously new ventures that we believe will be accretive to our business over time. We will only be looking at technology companies that provide a strategic benefit to Nasdaq. So an example of a similar type of investment we've made, we made an investment in a company called Chain, which is a blockchain solution and we are integrating Chain into our blockchain solution through the NFF. We also have made an investment in a company called Digital Reasoning, which is a machine learning company, and we're integrating that capability into our SMARTS offering. So those are the types of investments we would look to do at the corporate level. It won't be sitting within Corporate Services. And so I think that we've just announced that it's going to be a more organized effort going forward and we will have a very specific process around evaluating those opportunities. In terms of the NPM ALT initiative, this is kind of a brand new thing. There is no one out there who does this today. So looking at sizing it, the number of – the amount of secondaries that have gone through the private equity industry in the last year is somewhere in the range of $60 billion. Now capturing all of that or frankly catalyzing a further ability to do secondaries and making it more organized, more efficient, more streamlined and having a true price discovery event around those trades, we think, is a huge opportunity for the industry to allow for more episodic liquidity in those funds, but it's brand new. So it's not – today that's all done through a manual broker-led process. I would say that we see this as a long-term opportunity for us. We're not investing significantly because we're able to leverage the Nasdaq Private Market. So it's all within the $40 million to $50 million that we've announced in our R&D program, but it is something that we think that over time it will be one of those things that builds over time and I personally see it as kind of a five-year type of horizon in terms of really becoming a very significant part of our business, but I do want to say it is a long-term investment project for us and it is again not a significant annualized investment that we need to make in order to make it go.
Brian Bedell - Deutsche Bank Securities, Inc.: Right.
Michael Ptasznik - Nasdaq, Inc.: And Brian, just to clarify.
Brian Bedell - Deutsche Bank Securities, Inc.: Yeah, go ahead.
Michael Ptasznik - Nasdaq, Inc.: Sorry, go ahead.
Brian Bedell - Deutsche Bank Securities, Inc.: No, no. Go ahead.
Michael Ptasznik - Nasdaq, Inc.: Just to clarify, the Nasdaq Ventures because that is investment based, think about it as balance sheet based and not related to the $40 million to $50 million of the R&D budget.
Adena T. Friedman - Nasdaq, Inc.: Right.
Brian Bedell - Deutsche Bank Securities, Inc.: Right, right. Yeah, no, that's clear, thanks. And just on the platform for NPM ALT, do you see developing that this year or is that also longer term?
Adena T. Friedman - Nasdaq, Inc.: No, it's developed actually, so we've announced it as launched.
Brian Bedell - Deutsche Bank Securities, Inc.: Okay.
Adena T. Friedman - Nasdaq, Inc.: We are actively working with our clients right now to develop out the first liquidity events. So there's two things that can happen. One is that they can just launch the ability to do a liquidity event through the platform on their existing funds, and the other would be to basically embed in the perspectives of a new fund a liquidity mechanism that allows them to do monthly or quarterly auctions within a 40 Act vehicle. So we're basically working with clients on both. If we have a client that is willing to do liquidity events on existing funds, that could be revenue that starts to come in this year. If they're putting it into their prospectus as they're going out to market, the revenue will likely start to pull in next year as they launch the fund and start to offer liquidity. But it is something that we built the platform. It's ready to go and we are actively working with a lot of clients on implementation.
Brian Bedell - Deutsche Bank Securities, Inc.: Okay. That's great color. Thank you.
Operator: Thank you. Our next question comes from Matt Moon with KBW. You may begin.
Kyle Voigt - Keefe, Bruyette & Woods, Inc.: Hi. This is actually Kyle Voigt.
Adena T. Friedman - Nasdaq, Inc.: Hi, Kyle.
Kyle Voigt - Keefe, Bruyette & Woods, Inc.: So just a follow-up on earlier questions on the listings business. With the migration of the listed companies to the all-in fee structure beginning in January 2018, you mentioned there would be a revenue uplift, but I'm just wondering if you could help us quantify the expected financial impact of that because I think the first year, it was optional, in 2015, you grew your listings revenue something like 15% constant currency.
Adena T. Friedman - Nasdaq, Inc.: Yeah. So we aren't providing specific guidance on that. It will be significantly lower than the first – on the first push just because a lot of clients did impact. Then, there were two things that happened in 2015. There was a modest price increase across all listings, and then also on top of that, certain listings opted into the all-inclusive fee, which is an incremental fee on top. So, what's going to happen in 2018 is the rest of the firms will be grandfathered into the all-inclusive fee structure, but that's going to obviously have a less impact than what happened in 2015. A lot of companies chose to opt in over the last couple of years, so every year they've been more opt-ins coming through.
Kyle Voigt - Keefe, Bruyette & Woods, Inc.: But you'll also continue to have the loss of the additional fees, right?
Adena T. Friedman - Nasdaq, Inc.: Yeah. So the LAS (51:35) fees will continue to run off also. That's a four-year runoff schedule.
Kyle Voigt - Keefe, Bruyette & Woods, Inc.: Right. Okay. Thank you.
Operator: Thank you. Our next question is a follow-up from Michael Carrier with Bank of America. You may begin.
Michael Roger Carrier - Bank of America Merrill Lynch: Guys, just two small things. I think just on the data side, Adena, I think you mentioned a new platform in 2Q on the analytics side. I just wanted to get any color that you have on that because it does seem like on the data, there's a lot of demand, there is some offset on maybe price pressure for the industry. And then on the tech side, just given some of the wins that you've had, is there anything lumpy like we've seen in the past or are the current wins, a lot of kind of small, but continue to move the momentum in that business for the outlook? Just want to make sure we don't see big moves in terms of the revenues per quarter.
Adena T. Friedman - Nasdaq, Inc.: Sure. Yeah, I'll actually take that question first. So we do not have another deal coming through like the Borsa Istanbul deal that will take a – do a step function increase in revenues. It is going to be more of a steady build and climb, as we implement and start to recognize revenues across new clients. And so it's not going to be lumpy like that. It's going to – we just see a continued steady – a steady climb, as we continue to implement the new clients or new services to existing clients. In terms of the Analytics Hub, we actually are really excited about what we are doing in the data space right now. In terms of – we've been working with several machine intelligence companies to look at our own data and then to introduce some interesting third-party content into the mix where we could, the way that Analytics Hub is going to work, is a client can choose just to take the third-party data, it's unusual data, data that they might want to integrate into their own models, but it's a very streamlined channel for them to get it. They have one contract with us. They have the ability to take this data in the formats they want. They can take whatever element of data that they want. You don't have to take it as like a full feed. It's super flexible. They also, if they want, can take the analytics that we build on top of it where we're taking some of the third-party content, but using machine intelligence to match up against our own trading and order data to find potential signals in our market from that combination and we can provide them those analytics as well. So it's basically just the beginning where we have several different data feeds coming in and we're working with the machine intelligence companies to find those signals, but it is something where we believe that the buy side, over time as they continue to advance their quantitative models, will want to be able to have a myriad of third-party information that they can use either in their own models or they might actually want us to deliver an analytic for them that helps them understand signals in the marketplace. So, that's the purpose of the Analytics Hub and we do have some good early demand coming from sell side and buy side clients actually for the third-party data and for the analytics, but this again is a longer term initiative for us. It's not something that'll have an immediate impact in a meaningful way in a business as large as the data business, but it will be something that we hope will continue to climb and develop into something significant for us over time.
Michael Roger Carrier - Bank of America Merrill Lynch: Okay. Thanks a lot.
Operator: Thank you. Our next question is a follow-up from Alex Kramm with UBS. You may begin.
Alex Kramm - UBS Securities LLC: Yeah. Hey, just real quick. Just wanted to look at the cost base again. When I look at the expenses by segment, hopefully my data is right here, but from the fourth quarter to the first quarter, I see significant step downs in Corporate Services, I think like $9 million or so and then in the Information Services by $6 million, but Market Services is kind of like just slightly down, right? So not to get into too much detail here, but when I think about the ISE acquisition and then synergies coming out there, would it assume a lot of Market Services. And then the Corporate Services step down, I mean I know you did some acquisitions there, but that's just – that's like $36 million annualized quarter-over-quarter, so are you just ripping a ton of cost out there? Just maybe a little bit more color why maybe on a segment level that looks a little bit surprising to me.
Adena T. Friedman - Nasdaq, Inc.: Sure. So I think that with Market Services, I would say that immediately after completing the acquisition of ISE and CXC last year, we had a lot of non-technology-oriented synergies that we implemented, and we did that early and we did that, I think, decisively and you saw the benefit of that last year and that's coming into this year. This year, the incremental synergies in those deals are going to come from the technology implementations. We completed one in the first quarter on schedule with great quality and we're really, really proud of that, but until we continue to integrate the other two technology platforms, we won't see a material increase in the synergy opportunity until we basically have retired all of the ISE platforms at this stage. So, that will likely come later in the year. In terms of the Corporate Solutions business, there're a couple of things. Number one, there is cost that is related to revenue. And the fourth quarter is always our seasonal high in terms of revenue, always, but it also comes with it cost in terms of sales commissions, in terms of actually delivery of services in the PR business and in the webcasting business. So as we have seasonally low, our first quarter tends to be seasonally lower in terms of some elements of the business where there are direct costs associated with it. But also having said that, Stacie is doing a spectacular job of managing that business and managing the cost structure as we've been looking at both the revenue opportunities and the revenue risks in that business, and she just does a great job of managing expense base there. There is seasonal element though to the expense base that is associated with different revenue outcomes for that business.
Michael Ptasznik - Nasdaq, Inc.: Just to expand a little on what Adena is saying, part of the makeup of the business as well, it's obviously much more of a people-based business and some of the reductions that we saw quarter-over-quarter related to compensation, so that's one of the key drivers as well. It's really much more people-based than it is on the other side.
Alex Kramm - UBS Securities LLC: All right. Well, would you say...
Adena T. Friedman - Nasdaq, Inc.: (57:58)
Alex Kramm - UBS Securities LLC: Yeah. No. Just maybe on the Corporate Services, does that mean though when I look at like deals in that business over time that those are easy to buy and rip out the cost kind of opportunities or was it really across the whole business or is Corporate Services something where there are those opportunities to just buy revenue and take out a lot of cost or am I looking at the wrong thing here?
Adena T. Friedman - Nasdaq, Inc.: No. No. I mean I would say it depends on what we buy. So when it comes to Marketwired and Boardvantage because those two businesses are literally exact replicas of what we are already doing, it's just a matter of a similar scale up. In existing businesses, there are a lot of synergies that come from that. And there are synergies across sales, service, operations and ultimately technology. The technology, of course, is the tail as we continue to implement the technology integration, but I do think that there are nice synergy opportunities. If we were to buy company, however, that is expanding our capabilities in going into new things, there will be synergies associated with back office and administration and potentially sales, but we may not have as quite as many things in terms of technology and service, but certainly the acquisitions we did last year were highly synergistic and quite intentional in that regard. I think that – but generally speaking, it is definitely a more people-oriented business. So as you look at integrations, you can look at it as where can we save on infrastructure and people.
Alex Kramm - UBS Securities LLC: Thanks for my follow-up.
Adena T. Friedman - Nasdaq, Inc.: Sure.
Operator: Thank you. This concludes the Q&A session. I'd like to turn the call back over to Adena Friedman for closing remarks.
Adena T. Friedman - Nasdaq, Inc.: Okay, great. Well, thank you all very much for all of your questions today. Obviously, we are really excited about how the business is performing and what we can do to continue to grow the business, and we look forward to speaking with you again next quarter.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation, and have a wonderful day.